Operator: Welcome to today's conference call. [Operator Instructions] Today's conference is being recorded. If you have any objections, you may disconnect at this time. I will now turn today's meeting over to Mike Heifler. Thank you. You may begin.
Michael Heifler: Thank you, Denise. Good morning, everyone, and thank you for joining us. The press release and presentation slides for our call today have been posted to the Investors section of our website at adient.com. This morning, I'm joined by Jerome Dorlack, Adient's President and Chief Executive Officer; and Mark Oswald, our Executive Vice President and Chief Financial Officer. On today's call, Jerome will provide an update on the business. Mark will then review our Q3 financial results and our outlook for the remainder of our fiscal year. After our prepared remarks, we will open the call to your questions. Before I turn the call over to Jerome and Mark, there are a few items I'd like to cover. First, today's conference call will include forward-looking statements. These statements are based on the environment as we see it today and therefore, involve risks and uncertainties. I would caution you that our actual results could differ materially from these forward-looking statements made on the call. Please refer to Slide 2 of the presentation for our complete safe harbor statement. In addition to the financial results presented on a GAAP basis, we will be discussing non-GAAP information that we believe is useful in evaluating the company's operating performance. Reconciliations for these non-GAAP measures to the closest GAAP equivalent can be found in the appendix of our full earnings release. And with that, it's my pleasure to turn the call over to Jerome.
Jerome J. Dorlack: Thank you, Mike. Good morning, everyone, and thank you for joining us today. Today, we will review our strong third quarter results, which demonstrate the Adient team's commitment to continuous business performance improvement and the strength of our operating model. Before we get into results, I want to share our perspectives on the current tariff climate. As I have mentioned previously, we saw the industry work together to overcome historical shocks like the great financial crisis, COVID and supply chain shortages. In our view, tariffs are different, and we believe they will result in a reset of the competitive landscape with definitive winners and losers. We see Adient as a winner and net beneficiary from the current tariff policies and onshoring dynamics. In a few minutes, I will share additional thoughts and proof points on how we are approaching and capitalizing on these growth opportunities arising from U.S. onshoring. As we began to discuss in last quarter's call, we are focused on leveraging our unmatched footprint and capabilities and are working collaboratively and proactively with our customers to add value. Our approach is paying off as customers are increasingly awarding new business to Adient. I will walk you through new business wins, including net new business from our customers' U.S. onshoring initiatives. We also remain dedicated to being good stewards of capital and continue to execute our balanced capital allocation plan. I will walk you through these topics in more detail and then turn it over to Mark to review Q3 financials and our updated guidance for the fiscal year. Moving on to Slide 4. As we expected, our positive first half momentum continued into Q3 with improved business performance versus a year ago across all regions, allowing us to more than offset ongoing customer volume and mix headwinds in EMEA and Asia as well as net commodity headwinds. In the Americas, we outperformed industry volumes and saw strong year-over-year margin improvement as we drove additional efficiencies and had favorable comparisons with last year's heavy launch calendar. As a result, we were able to improve total company adjusted EBITDA margins by 60 basis points and grew adjusted EBITDA by $24 million to $226 million. Tariff rules and values continue to be fluid. As we have worked through our second quarter of new tariffs, we continue to believe that Adient has ample degrees of freedom to mitigate impacts through resourcing of components and customer negotiations. Last earnings call, we shared that our gross monthly exposure to incremental tariffs at that time was approximately $12 million. Given policy changes in recent weeks, today, that figure is closer to $4 million. In short, we believe the tariff expense is manageable, and we continue to find solutions proactively working through the issue with our customer base. The company's ongoing operational excellence combined with innovative seat solutions are helping us win significant new business across all regions, including new business driven by U.S. onshoring. I'll walk you through some of our new business wins in a few slides in more detail. Before we go there, I want to acknowledge the Adient team for their dedication, leading to multiple awards recognizing Adient's effort to drive outstanding quality, efficiency and customer service. Some examples of recent awards include GAC Toyota's Quality Collaboration Award, multiple GM Supplier Quality Excellence Awards at our sites globally and Ford Supplier of the Year. As I've commented before, external validation of the value we provide and how we operate the business speaks volumes. I am proud that our team continues to win broad-based customer and industry recognition. And I'd also like to thank our customers for their continued trust in Adient. Without you, the business would not be possible. We are focused on delivering best-in-class quality, value and service to our customers. It is this type of behavior and execution that is allowing us to win onshoring net new business with some of our Asia-based OEMs, including the Nissan Rogue, which we will supply additional volumes coming from Japan to our Murfreesboro, Tennessee facility as well as another Asia OEM that is moving production from Canada to the U.S. In addition to these onshoring wins, we have won significant new conquest business in Europe and the U.S. with the Mercedes VAN C-Large. In Asia, we continue to grow with the likes of BYD and other EV leaders. The company generated strong free cash flow of $115 million in Q3, in line with internal expectations. As we have previously commented, we typically generate positive free cash flow in the second half of the year. Importantly, we have maintained a strong cash balance of $860 million and ample liquidity of $1.7 billion. Our free cash flow supported $50 million of additional share repurchases in the quarter, bringing our total repurchases so far this fiscal year to $75 million or approximately 4% of our outstanding shares. Mark will get into our outlook in more detail in a few minutes. Given our positive momentum and mitigating actions we are jointly taking with our customers around tariffs, we expect a strong finish to fiscal year '25 and are increasing our guidance for revenue and adjusted EBITDA to $14.4 billion and $875 million, respectively. Now let's discuss how the Adient business is progressing at a high level from a regional perspective on Slide 5. As a general comment, while we remain intensely focused on business performance and efficiency, we have been deliberately pursuing profitable new business by leveraging our competitive advantage of an innovation, consistently strong operational execution and a world-class footprint. In the Americas, we continue to benefit from strong business performance and margins continue to expand through incremental efficiencies driven by automation, innovation, continuous improvement and engineering cost out. As I mentioned earlier, we are focused on navigating tariff dynamics and driving value for our customers. By doing so, we are beginning to realize growth opportunities. From an expense perspective, we believe the tariff impact is manageable. In Q3, if you recall, we experienced a net headwind of approximately $4 million in the quarter, down from $9 million in Q2 when tariffs began to go in effect at the end of the second quarter. We believe tariff expenses are manageable based on our understanding of the current tariff policies. Our objective going forward continues to be to mitigate most of these expenses. In EMEA, we are seeing improving business performance and strong execution, including restructuring benefits, combined with the expiration of underperforming metals contracts beginning in fiscal '26 into '27 as significant self-help tailwinds. Importantly, we believe we have ring-fenced cash restructuring costs in the region over the next 2 to 3 years. We are starting to see some signs of industry volume stabilizing in the region. And given our self-help measures over the next few years, we believe we can achieve mid- single-digit EBITDA margins in EMEA. We are also seeing several new key business awards in the region that will strengthen our top line performance in the out years. In Asia, the team continues to execute at very high levels and drive strong business performance. Margins have expanded this year and growth in the rest of Asia nearly offset lower sales volumes in China in the quarter. While we continue to experience near-term pressure on China revenue, we believe this to be temporary as new business with local China OEMs is expected to drive growth. Our strong relationships and footprint in China are helping us win more business this year, and we expect to capitalize on China OEM growth abroad. Rapid adoption of innovative seating solutions such as zero gravity and mechanical massage seats, and mega mobility trends such as smartification and electrification are driving content growth. Our Asia business remains profitable and cash generative. In short, Adient continues to consistently execute while demonstrating agility to our customers. We are capitalizing on emerging growth opportunities. Now let us turn to Slide 6 and talk about onshoring growth opportunities in the U.S. Earlier this year, as tariff policy rose to prominence, the Adient team proactively performed a deep dive analysis of our customers' U.S. footprint and compared that to our facilities, differentiating between new-to-body and body-on-frame capacity. We identified overlapping footprints and proactively approached our customers with solutions to support their onshoring needs. These proposals are in various stages of consideration by our customers. The key takeaway is we are leveraging our competitive advantages to win new business. Our strategically advantaged footprint allows us to service our customers and align as opportunities emerge. Our customers appreciate our track record of execution and strong quality. And lastly, we are being recognized for our customers for our solutions-orientated leadership and our partnership approach on the issue. Adient's U.S. presence is an enabler for future growth. As I will get into on the next slide, we have proof points that we are announcing today with our new onshoring wins with our Asia-based customers. Adient is competitively advantaged with a U.S. production footprint of 75% of total North American production compared to our nearest competitor with approximately 55%. From what we know today, we estimate approximately 600,000 units of annual vehicles could be onshore to the U.S. We expect to get more than our fair share of this opportunity with minimal incremental investment. Moving on to Slide 7. We continue to prioritize winning the right business and executing successful launches. Our business awards this quarter demonstrate tangible growth from U.S. onshoring, significant new conquest wins in EMEA underpinning stabilization in the region and growth in China, including new business with BYD and other EV leaders. I want to take a moment to highlight new business with one of our Asia-based OEMs that I mentioned earlier. This business is currently produced in Canada. Production will be moving to the U.S. and includes JIT foam and trim. And with Nissan, we are currently supplying seating for the rogue from our Murfreesboro, Tennessee facility, and the customer will be moving incremental volume from Japan to the U.S. I want to thank both of these customers for their trust in Adient with an accelerated launch time line. We expect additional customer onshoring announcements will be coming, which will open up more opportunities for Adient. In EMEA, we are very excited about supplying the Mercedes VAN C-Large seat. This is a conquest win and represents stable, high volume and a program which will start production in fiscal year '28 and will be additive to our volumes in the region. This is also a full value chain win, which includes JIT foam, trim and metals. This win also includes production in the U.S., highlighting our ability to provide global solutions to our customers. Also in EMEA, we recently won new complete seat business on the Volvo EX40. In Asia, we have won significant trim business with BYD on the Denza D9. We continue to cultivate our relationship with this fast-growing China-based OEM. We have also won complete seat business with Toyota on the 560B, which is a 7-seat multipurpose vehicle expected to launch in the India market. This is another example of how we are helping our Asia-based customers globalize. As you can see on the right-hand side of the slide, we are launching several key platforms around the globe. These programs are a testament to our high level of execution on multiple launches and our ability to perform on safety, quality and on-time delivery metrics for our customers. Finally, moving on to key factors we, as a management team, want you to come away with that differentiate Adient from other suppliers on Slide 8. The Adient team achieved strong momentum in Q3, and we expect this to continue into Q4. The team is committed to consistently strong execution in support of our customers while demonstrating their resiliency and the ability to quickly pivot and overcome macro challenges. Adient possesses a world-class global footprint and continues to drive value to our customers wherever they do business around the world. We see significant U.S. onshoring opportunities requiring minimal capital investment, and we are starting to see those opportunities come to fruition. We are winning new business in Europe and Asia. We believe we have tremendous runway for earnings growth and free cash flow generation. Lastly, Adient has also demonstrated a balanced approach to capital allocation. In Q3, Adient repurchased 4% of its shares and has nearly acquired 15% of its total shares outstanding since our buyback program began a couple of years ago. And we are committed to continue to be good stewards of capital. Now I'd like to turn it over to Mark to take you through our financial outlook.
Mark A. Oswald: Thanks, Jerome. Let's jump into the financials on Slide 10. Adhering to our typical format, the page shows our reported results on the left side and our adjusted results on the right side. We will focus our commentary on the adjusted results, which exclude special items that we view as either onetime in nature or otherwise skew important trends in underlying performance. Details of all adjustments for the quarter are in the appendix of the presentation. High level for the quarter, adjusted EBITDA was $226 million, up 12% year-on-year. We expanded EBITDA margins 60 basis points year-over-year to 6.0%. The improvement reflected outstanding business performance in the quarter despite lower customer volumes and the negative impact of tariffs. As Jerome mentioned, we continue to demonstrate the resilience of the Adient operating model and ability to mitigate external pressures. Worth noting that our underlying equity income remains quite strong, particularly in our Asia Pacific segment despite this quarter's results being negatively impacted by $6 million from the same period a year ago due to the restructuring of a pricing agreement within Adient's [ Piper ] joint venture. At the bottom line, Adient reported adjusted net income of $38 million or $0.45 per share. I'll cover the next few slides rather quickly since details of the results are included on the slides. This should ensure we have adequate time for Q&A. Starting with revenue on Slide 11. We reported consolidated sales of approximately $3.7 billion, an increase of $25 million compared with Q3 fiscal year '24. The year-on-year increase was driven by $84 million of favorable FX, partially offset by lower customer production volumes. Focusing on the right side of the slide, Adient's consolidated sales on an FX-adjusted basis were higher in the Americas and lower in EMEA and Asia year-on-year. In the Americas, higher sales versus industry were driven by a favorable comparison versus a year ago when many of our key customer programs were launching at low volumes, such as GM's large 3-row crossovers and the Toyota's Tacoma. In Europe, we were negatively impacted by overall weaker market demand. Additionally, we underperformed the market due to planned portfolio actions and adverse customer mix. And in our APAC region, sales in China underperformed industry production, primarily due to lower volumes from our traditional luxury OEM customers. Longer term, we see growth over market improving given our numerous wins with key China OEMs. We continue to outperform the industry in Asia outside of China due to new customer launches, which occurred in the second half of 2024, which are now at full run rate volumes. Regarding Adient's unconsolidated seating revenue, year-on-year results are down about 9% adjusted for FX. Revenue in North America was lower due to a JV portfolio rationalization, which was partially offset by growth in Europe of our Diniz joint venture in Turkey. Sales in China were down year-on-year, mainly due to lower sales within our CFAA joint venture, partially offset by growth with BYD and exports through our Keiper joint venture. Moving on to Slide 12. We've provided a bridge of our adjusted EBITDA to show the performance of our segments between the periods. Adjusted EBITDA, as indicated, was up 12% at $226 million. The primary drivers of the year-on-year comparison are detailed on the page. The Adient team drove improved business performance of $33 million, primarily resulting from better net material margin and reduced operating costs, including lower launch costs. Worth mentioning, this quarter's performance results include $4 million of net tariff expenses. The improved business performance was partially offset by net commodities, which was a headwind of $7 million, largely resulting from timing of customer reimbursements. Volume mix was a $4 million headwind driven by lower customer vehicle production in EMEA and China. FX was a $3 million tailwind, mostly from favorable transactional impacts in Asia. As in past quarters, we've provided our detailed segment performance slides in the appendix of the presentation. High level, for the Americas, improved business performance of $20 million in Q3 was primarily driven by favorable commercial actions, lower input costs and lower launch costs, partially offset by lower net engineering recoveries. Tariffs were a $4 million headwind during the quarter. Assuming no changes to current policy, we expect our net tariff expenses to be lower in Q4. We expect to recover or offset through business performance, the majority of tariff expenses going forward. Volume and mix was a slight tailwind of $2 million, benefiting from stronger production volumes. And finally, commodities, a $4 million headwind driven by the timing of recoveries. In EMEA, the year-over-year results were influenced by positive business performance, call it, $6 million in Q3, partially offsetting the improved business performance was lower volume and mix of $5 million, FX was a $2 million headwind, primarily driven by transactional exposure from the zloty and commodities were a $3 million headwind due to timing of recoveries. In EMEA, we continue to focus on driving additional operating efficiencies, restructuring and executing our plan, which includes the roll-off of lower-performing metals business and the start of production of better margin new business, which we believe will inflect positively in 2026. Moving on in Asia. Our results improved year-on-year by $12 million, and our EBITDA margin expanded 150 basis points, driven by positive business performance and favorable FX more than offsetting somewhat lower volumes and mix. In summary, the company continues to drive improved business performance across all regions, which we expect to continue in Q4. Let me now shift to our cash, liquidity and capital structure on Slides 13 and 14. Starting with cash on Slide 13. For the quarter, free cash flow, defined as operating cash flow less CapEx was $115 million. Year-to-date, which smooths out working capital timing, we generated $70 million of free cash flow. Change versus last year is more than explained by the higher cash restructuring, particularly in Europe. As Jerome mentioned earlier, this was in line with our internal expectations. In Q3, we incurred $34 million of cash restructuring, in line with prior quarters. We continue to expect solid free cash conversion in fiscal 2025. One last point and called out at the bottom of the slide, Adient continues to utilize various factoring programs as a low- cost source of liquidity. At June 30, 2025, we had $168 million of factored receivables, about flat with where we started the year and quarter. Flipping to Slide 14. Adient is committed to being good stewards of capital while maintaining a strong and flexible balance sheet, ensuring efficient allocation of resources and ample liquidity. Turning to our balance sheet. Adient's debt and net debt position totaled about $2.4 billion and $1.5 billion, respectively, at June 30. The company's net leverage at June 30 was 1.7x within the targeted range of 1.5 to 2x. Total liquidity for the company was approximately $1.7 billion at June 30, comprised of $860 million of cash on hand and $872 million of undrawn capacity under Adient's revolving line of credit. During Q3, we repurchased $50 million of our stock. We retired approximately 2.8 million shares. Year-to-date, we've repurchased $75 million of stock and reduced our shares outstanding by approximately 4%. We have $185 million remaining on our current share repurchase authorization. Lastly, turning to Slide 15. Given our strong year-to-date financial performance, current exchange rates and visibility that we have into production schedules for Adient's Q4, we are raising our fiscal year '25 revenue and EBITDA guidance to approximately $14.4 billion and approximately $875 million, respectively. It's important to emphasize that this outlook doesn't contemplate policy changes or additional tariffs to what we know as of today. It's worth noting that this outlook is quite similar to where we thought we would be when we started the year last November, adjusted for FX and tariffs. On free cash flow, we are maintaining our guidance of $150 million to $170 million, while we have been able to drive favorability in adjusted EBITDA and our improved outlook with regard to CapEx and cash taxes, we still face uncertainty and timing delays related to tariff recoveries. I'd also point out that we are expecting elevated levels of cash restructuring this year due to timing of cash payments related to previously announced actions close to $130 million. I know many of you will be looking past our Q4 and contemplating our setup in 2026. We feel confident in our ability to manage the controllables in our business and believe our strong 2025 financial performance will be a positive starting point going into 2026. We will have more specifics to share about our 2026 outlook when we report next in November. To sum it up, Adient is demonstrating consistently strong execution and is well positioned to weather macro challenges. We remain focused on delivering excellent product and value for our customers and meeting or exceeding our financial commitments to our shareholders while maintaining a strong and flexible balance sheet. With that, let's move to the question-and-answer portion of the call. Operator, can we have our first question, please?
Operator: [Operator Instructions] Our first question comes from Joe Spak with UBS.
Joseph Robert Spak: Jerome, some interesting data points on the onshoring opportunity with some early wins and the future opportunities. I guess a couple of things here. The Nissan business you talked about, I just want to confirm that you had that business, but you just think there's higher volume with the U.S. and then the Asian OEM one is purely incremental. And then on the bigger opportunity where you talked about 600,000 units potentially coming back to the U.S. and your advantaged footprint there, how -- what do you think the net opportunity for Adient is? Because presumably, you already have some of that business in other parts of the world. And if you don't win that business, even if you do have the footprint, what happens typically in that case? Is there an opportunity to sell assets or facilities? I just want to sort of better understand how you're thinking about this opportunity.
Jerome J. Dorlack: Yes. So thanks for the question, Joe. I think -- so just a couple of points on that. So on the Nissan business, the way we view that, I mean, that's a net positive for us. So that business today is produced in Japan by one of our competitors. They're bringing that over into their Serna facility. That will represent incremental revenues for us. We'll run that on existing capital. The other piece of business that you referenced that we referenced on our call that's coming from Canada into the U.S. for us. The sum total of those 2 pieces you can think of it somewhere between $150 million to $200 million of incremental revenue for us that will start really flowing in, in '26. It will hit full run rate by the time we get into '27, just based on as our customers fully ramp up from that standpoint. And that is truly new incremental revenues. The way we think about the $600 million, that $600 million is business that we do not have today. So that doesn't exist in our portfolio today. It would really be at the expense of our competitor base. And that's why we really called out our footprint today is largely 75% U.S.-based compared to our next largest competitor who sits at 55%. Others in the market have different footprints. And so when we think about that 600, that's based on already existing announcements that are in the market today. You would have seen the announcement of General Motors, what they want to rotate through with their footprint. Other customers have approached us already looking to rotate other volumes out of whether that's Mexico or potentially Canada as well, also Japan, some other regions into the U.S. And again, that would be net positive. Now are we going to get all 600 of that? No, I don't think that's a realistic way to look at it. Is there going to be other incremental volume that comes in? I think we feel that. We feel that we will be a beneficiary of it. It's just a question of timing and where does that land in the U.S. and at which one of our sites, again, with very little net investment. So we don't see any of that 600 winding down facilities elsewhere in the world, and we don't see us having to shutter assets in Mexico. We have no footprint in Canada today. And so it would be a net positive for us with very little downside, almost no downside from that standpoint. Do that helps to answer the second part?
Joseph Robert Spak: Yes. No, that -- yes, that's super helpful. So I guess just to quickly summarize, that's sort of the $600,000 is sort of your -- you think your addressable opportunity on a net basis. Okay. And then, Mark, just -- I know you sort of touched on a little bit views into '26. And the business performance was pretty strong this quarter. You're pointing to positive business performance in the fourth quarter. You talked about the underperforming business sort of rolling off. And obviously, volume is still sort of a key variable with some levels of uncertainty. But are you sort of suggesting that even exclusive of sort of how volume plays out, you'd expect that business performance to be a tailwind into '26? And like is there any sense of magnitude as to sort of how much that could help next year?
Mark A. Oswald: We do, Joe. We do think that business performance will be a positive heading into '26. You're exactly right. The big unknown and the big driver, obviously, for us and for the industry is production volumes. So we'll be obviously, watching that closely as we go through the next couple of months. We're right now just in the final stages of finalizing the '26 plan. We'll do that with the management team, with our Board. So again, premature for me to comment on specifics about it other than to say that we think the momentum that we're establishing here in '25 continues into '26 and business performance will be a tailwind.
Operator: The next question comes from Colin Langan with Wells Fargo.
Colin M. Langan: Just on the guidance, guidance for sales rose by $500 million, adjusted EBITDA by only $25 million. Any color on the low conversion? Is that because most of the increase is FX related on the sales side? Just any color there?
Mark A. Oswald: That's right, Colin. It's -- if you think about it, if I look at my translational impact in terms of the top line, that's the majority. Obviously, certain of that pulls through at very low margins over in Europe, for example. And so that explains the difference there between the sales and the actual impact on EBITDA.
Colin M. Langan: Got it. That makes sense. And one of your competitors just announced they won the structures business on the F-Series and flagged that the F-Series is ongoing for bid. I believe the F-150 JIT is your largest platform. I mean, do you think having the structures would be an advantage to winning the JIT? And any color that you could provide on the bid process? Is the F-150 and the Super Duty up for bid, so maybe there's even opportunity for you actually. Any color there that you could provide?
Jerome J. Dorlack: Yes. This is Jerome. So thanks for the question. I think I don't want to comment in terms of how Ford sources or in terms of what they have out for bid and what they don't have out for bid. I think maybe taking the question the second half and then I'll go to the first half. What we're focused on is providing solutions for our customers. When it comes to the F-150, that's a very important platform for us. And what we want to do is always be laser-focused on providing solutions for Ford Motor Company and for Ford's customers that provide value for them and ensure that we're giving them the best product for the world's best-selling truck for a significant number of years running. And that's what we're laser-focused on doing, and we're going to continue to do, and we think that gives us a favorable opportunity to win that business and retain that platform. And I think we feel good about where we stand in the bid process with them. And that's what we're focused on doing. We're not going to speculate on where it stands and what Ford is going to do from that standpoint. I do think it's worth correcting there was an article that was published by one of the analysts that said the F-150 metals is part of Adient's crown jewel. That's just simply not true. We haven't had the F-150 metals since the last cycle. And so we haven't produced that now for almost, I think, going on 6 years, 7 years. And so it's worth noting that the loss of the F-150 metals does not impact Adient. It's not a loss of market share. It's not a shift of market share from that standpoint. And in terms of does having the metals enable you to win the jit the way our customers source certain customers at the benefit, certain customers, it's not. Again, I won't go into how Ford sources their patterns, but I think Ford views those as independent sourcing events. And that's how we provide value to Ford. We view JIT, trim and foam and our ability to engineer that as an individual event, and that's how we provide value to them without metals. And that's how we provide the product today, and we were able to win the product today without having the metals. And we think we're very confident we can do that in the future.
Operator: Next question is from Edison Yu with Deutsche Bank.
Xin Yu: One on the housekeeping. I think the equity income you took it down a little bit. Can you maybe just go over what's driving that to the guidance, the volume?
Mark A. Oswald: Some of the equity income, obviously, Edison is impacted. Again, we've mentioned a couple of times throughout the year on our quarterly calls that we have renegotiated the pricing agreement with Keiper, right? So that would impact our equity income. There's just what I'd call FX that would impact certain pieces of that, right? So it's just -- I'd say little things throughout. But again, when I look at the total piece for equity income, still very strong.
Xin Yu: Got you. And then just on the, I guess, the performance versus the industry, I know you mentioned you have several China wins coming. Any sense on when we can kind of get to parity in the China market as some of the new business launches with BYD and other Chinese customers?
Jerome J. Dorlack: Yes. I mean I think the last part of your question really highlights that. A lot of it is going to come down to how does BYD perform in the market. I think we've been very transparent in terms of what our market share is with BYD. Today, we announced the win on the Denza D9 trim. We've been very focused in terms of going after component wins with BYD. The makeup of our business and where we see profit and cash generation, we do very well on components, and we've been doing very well with BYD on components. That obviously doesn't have the top line say, revenue generation as a JIT piece of business would. So a lot of it will come down to customer mix and how BYD continues to grow there. That said, I think if you look at our win profile where we've been winning this year, we would expect to see as we get into '26, back half and then '27 when we see significant launches, we'll get back to more of kind of a parity type of run rate. Now again, a lot of that will be contingent upon if BYD continues to outpace the market there as they've done, it will be hard to have parity just given our mix. That said, we don't necessarily see that continuing moving forward.
Operator: Next is Emmanuel Rosner with Wolfe Research.
Emmanuel Rosner: Just wanted to follow up on the reshoring, onshoring opportunity. Can you help us understand or how to quantify the competitive advantage you have from having the local footprint. So maybe just some sense of how much does the JIT plant cost, like if someone had the business elsewhere but had to build it in the U.S., how much would that cost them? Or how much of a competitive advantage you have from not having to do it?
Jerome J. Dorlack: Yes. I think it's cost, but it's also intimacy with your customer. So the cost is one aspect. And a JIT plant, when you think about investment, whether that's brownfield or greenfield, the lines that you have to put in, you're somewhere between $20 million and $30 million, give or take of it. the cost is one thing, but there's the intimacy that you have with your customer. When you think about servicing that vehicle assembly plant, the fact that you have this track record of delivery, we've talked a lot about the fact that you have a broadcast window of between 120 to 180 minutes where you're having to manage the complexity associated with it. If you look at Adient's delivery track record, the fact that we are a supplier of choice to our customers, we've demonstrated our ability to meet those windows of delivery 100% on time, 100% successful launch rate and the fact that we are a supplier of choice to them, the switching costs then really becomes significantly more than just that capital expenditure when you think about running it through amortization. And it's more than just the incremental piece of it when you have to think about that. There's the engineering that will then go along with it. There's the rebuilding of the relationship. There's the fact that they would have 2 points of inducement for a seating supplier then, which is a big tariff for a vehicle assembly plant. So when you have a seating plant that's next to a vehicle assembly plant, that's a significant competitive advantage when you're performing. And that's why we talk a lot about focus on performance. So much of this business is doing 1,000 things right every minute, every day in a JIT plant. And that's what our model really comes down to. So it's just -- it's so much more than just that capital investment. It's the level of service we provide for our customer, that relationship between our seating plants and the vehicle assembly plant.
Emmanuel Rosner: Got it. And then focusing on your cost performance, can you just put back into context where Adient is now in terms of current margin and how much more cost performance is there or cost opportunities there compared to your initial plan to improve margins?
Mark A. Oswald: Yes. When I look at it, Emmanuel, I look at it this way, right? If I look at -- I'll go by the regions, right? If I look at total company, for example, we've given directional commentary that we'd like to be somewhere around an 8% EBITDA margin company, right, give or take, timing, et cetera, volumes. But that's the target, right? And so then when I look at it from a geographical perspective, Americas printing somewhere in that 6%-ish range this year, right? We're 10 months through the 12-month fiscal year, right? So they're going to come in somewhere around that 6%. I think if you look at the APAC region, right, they continue to print double-digit margins. I look at them as being able to continue to print double-digit margins will continue to grow the top line. Europe, obviously, it's going to be troughing. We've indicated a couple of times on our quarterly calls this year that we expect the Europe performance to trough in 2025, right? Next year, business performance should be a tailwind as I think about some of the restructuring that comes on. We should get some positive mix as I think about the balance in balance out of programs. So total company, can I see us moving from that 6%-ish range up towards 8%? Yes. I do think that, that means that America continues to grow their margins. I think that you'll see sustainability within APAC double digits. And then obviously, that would mean Europe has to go from, call it, that 2.5% to 3% margin probably to somewhere 5% or 6%, right? And that's sort of what you should think of in terms of opportunity by region to get total company, call it, a couple of hundred basis points more of margin growth.
Jerome J. Dorlack: And I think what's important is along the way is just the free cash flow generation potential of the company. We continue to remain that CapEx number somewhere between $260 million to $300 million. We talked today about the European restructuring. We think we've got it kind of ring-fenced over the next 2 to 3 years line of sight. Our cash tax profile is attractive. And so we are laser-focused on cash generation and how we deploy that cash that we're generating in a balanced manner.
Operator: The next question comes from James Picariello with BNP Paribas.
James Albert Picariello: Just on tariffs and commodities and I guess, starting with commodities. I believe the previous guidance had assumed neutral impacts for both. And on the commodity side, the year-to-date headwind is $30 million. Are you reporting that number on a net of recovery basis, meaning that the commodities bucket is trending worse than what you previously had anticipated? Or was it the guidance always assuming that this net commodities headwind gets offset by performance savings as is taking place? Just wondering.
Mark A. Oswald: Yes. So James, when we talk about commodities, it's net, right? But again, important to note that when we do get recoveries and whether it's recoveries for commodities or recoveries for tariffs, for example, you are going to get it within a basket of goods, right? So you are going to get what I would say, a mixed bag of where the recoveries come from. But on a net basis, that's the way you should be thinking about that.
James Albert Picariello: Okay. So it's -- in terms of -- I mean, based on what your FX assumptions are, it seems as though the full year core sales are running like 1.5 points better than your original or your prior guidance. And the weaker flow-through on the better revenue is due to these lingering commodities and tariff headwinds. Is that...
Mark A. Oswald: The way I look at it is this way, James. When we gave our guidance back in November, right, and we were walking from the $880 million to the midpoint of $875 million, we said volume mix was going to be a negative for us, call it, somewhere around that $80 million-ish range. E-com was going to be a net negative for us. Again, broad brush numbers, call it, around $20 million headwind. And then business performance was going to be the positive driver, call it, close to $100 million, right? With our new guide, right, and again, we're walking, as I indicated, it's fairly close to what we guided to. I mean, we're coming out to 875 point. Since then, FX, I'd say, is a slight negative. Volume and mix is pretty much flat with where we thought it would be. And then business performance has actually improved because now we're actually picking up about $15 million of what I'd call tariff impact for the full year. So those are your big primary buckets that you should be thinking of.
James Albert Picariello: Got it. Okay. That's very helpful. And then just touching back on core sales and your positioning in China for the Asia Pac region and your JVs. Is there better line of sight to stability for next year on the top line with the company set up for growth? Or is it more of a focus on driving strong profitability, which we are seeing in the Asia Pac region this year?
Jerome J. Dorlack: Yes, I think it's -- I mean, thanks for the question. It's one that we're going through right now as we're looking and trying to set up our '26 plan. A lot of it will come down to launch cadence of the local China OEs. And there were certain launches that weren't even supposed to take place this year that were delayed as they looked at their software stack and we're trying to keep their software stack, in particular, ADAS competitive. And so they pushed some of those out into '26. If those launches hit and the timing flows through, we'll return to, as we talked about earlier, I think from -- it was Edison's question, somewhere around parity, depending again what BYD does from a growth standpoint. But if those launches get delayed, it could be a year that will be, I wouldn't say down like this year was, maybe a year that slightly contracted versus market, still growth relative year-over-year. So a lot of it will just come down to launch cadence of the local China OEs. And a lot of that, I think, again, will probably be driven from their software stack readiness, in particular, ADAS.
Operator: [Operator Instructions] The next question comes from Dan Levy with Barclays.
Dan Meir Levy: I wanted to first double-click -- earlier -- on the response you gave earlier, Mark, on the margin side and specifically on Europe. And I think -- earlier in the call, Jerome, you mentioned that you think Europe can get to mid-single-digit EBITDA margins. Can you just unpack what specifically needs to play out to achieve that? What's a reasonable timing? How much more restructuring do you think you need to do to get that cost structure in line?
Mark A. Oswald: Yes. Great question, Dan, and thanks. When I look at going into '26, right, and as I indicated, we're still going through the final plan there, but I do still see the balance in balance out as being a key driver as I go from '25 to '26. right? We're getting some positive traction on the restructuring that we've already announced and that we're executing. Clearly, the biggest driver there is having stability in production, right? So as we continue to see production stabilize, which we have recently, as we continue to win new business, right, and Jerome mentioned a couple of new platforms this morning in terms of that we won, when those start to roll on, right, those are all drivers that provide a tailwind as we get into EMEA. So again, those are the, what I'd say, the elements or the levers that actually give us confidence that we can go from, call it, that 2.5% to 3% trough, which we're facing this year to somewhere in that, call it, 5%, 5.5% range over the next -- it's not going to happen overnight. Restructuring is a multiyear restructuring plan. So when you start looking at incrementally you're probably talking 2 or 3 years out before you can get to something that would resemble those type of margins. With -- for your last question, just in terms of how much restructuring is left, we have indicated that we would expect 2026 to be another heavy restructuring year. We haven't announced anything other than what we've announced this year, but we do know that certain programs are rolling off. We do know there's going to have to be some capacity alignments there. So something probably in the same ZIP code as what we're facing this year.
Dan Meir Levy: Okay. That's helpful color. Second question is, I want to go back to the reshoring theme. And to blend that with the question you frequently faced on vertical integration. And with automakers now doing reshoring or pursuing some reshoring, how much more are they looking at vertical integration, if at all, perhaps to get better cost dynamics because they have additional costs on their end that they need to get. So does the vertical integration play into this at all? And where are you positioned on that?
Jerome J. Dorlack: Yes. I think if anything, it's become slightly dis-synergistic because they're looking to possibly disaggregate value chains more depending on which onshoring opportunity it takes. I think our core products, JIT, trim and foam, that really lends itself well to be vertically integrated. And we pour more foam than anyone does in the U.S. market, in the North American market, and we sell more trim than anyone does in the North American market. And when you can bring that together with your JIT footprint and you can be extremely agile and be extremely nimble, that's where we're seeing, I think, significant momentum. When you try to bring into that things such as whether it's the comfort systems or things along those lines, you start to run into some challenges because the customers now are looking to see where they can disaggregate those things. You saw going back to the F-150, the announcement, I think, during it would have been Gentherm's earnings call on what they announced with their win. Again, I don't want to talk about forward sourcing pattern, but that announcement has already been made. They fully disaggregated that. And our customers want to move fast. And I think if you try to box them in with a fully integrated value chain on things that they don't traditionally source fully aggregated, they just -- they look at it and go, that's not how I want to do it. I want to move fast. I want to move in a more efficient way. They may give you sourcing control over it. But if you have sourcing control, they then just want, I think, what will be at the end, the quickest solution to get there. And if you don't have the footprint where you don't have a solution to give them, they're not going to let you force on to them a fully integrated one just because it's fully integrated. JIT, trim and foam, yes, and we've seen success in our metals footprint. We talked about that on the last call, where we've been able to utilize some of our global metals footprint, but not necessarily on the other components have we seen a big play.
Michael Heifler: Thanks, Dan. I want to thank everyone once again for your interest in Adient. And if you have any follow-up questions, please feel free to reach out to me today. Also, I'd like to acknowledge that we will be in New York City next week participating at the JPMorgan Autos Conference and hope to see many of you then. And with that, Denise, we can close out the call.
Operator: Thank you. That does conclude today's conference. Thank you for your participation. Have a great day, and you may disconnect.